Executive: Blake Goldring - Chairman and CEO Kevin McCreadie - President and Chief Investment Officer Adrian Basaraba - SVP and CFO
Analyst: Gary Ho - Desjardins Capital Markets Graham Ryding - TD Securities Geoff Kwan - RBC Capital Markets Paul Holden - CIBC Tom MacKinnon - BMO Capital Markets
Operator: Ladies and gentlemen thank you for standing by and welcome to AGF Management Limited Q1 2017 Earnings Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. As a reminder this conference is being recorded Wednesday March 29, 2017.  Your speakers for today are Mr. Blake C. Goldring, Chairman and Chief Executive Officer of AGF Management Limited; Mr. Kevin McCreadie, President and Chief Investment Officer of AGF Management Limited; and Mr. Adrian Basaraba, Senior Vice President and Chief Financial Officer of AGF Management Limited.  Today’s call and accompanying presentation may include forward-looking statements. Such forward-looking statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of such statements and actual results could differ materially. For additional information regarding such forward-looking statements, factors and assumptions, AGF directs you to the caution regarding forward-looking statements which is contained on page 2 of the presentation. AGF’s MD&A for the quarter ended February 28, 2017 and AGF’s most recent annual information form.  I will now turn the call over to Mr. Basaraba. Please go ahead. 
Adrian Basaraba: Thank you, operator, and good morning, everyone. I’m Adrian Basaraba, CFO of AGF Management Limited. Today we will be discussing the financial results for the first quarter of fiscal 2017.  Slides supporting today's call and webcast can be found in the Investor Relations Section of agf.com. Also speaking on the call today will be Blake Goldring, Chairman and CEO; and Kevin McCreadie, President and Chief Investment Officer. Turning to Slide 4, I'll provide the agenda for today's call. We’ll discuss the highlights of Q3 2017, provide an update on the key segments of our business, review the financial results, discuss our capital and liquidity position, and finally close by outlining our focus for the remainder of 2017. After the prepared remarks we'll be happy to take questions. With that, I’ll turn the call over to Blake.
Blake Goldring: Thank you, Adrian, and thank you everyone for joining us on today's earnings call. 2017 marks AGF’s 60th anniversary. In 1957 AGF began as a single innovative idea to pool the funds of Canadian investors to provide greater access to the US market. The American growth fund traded 60 years ago was the first mutual fund in Canada to invest solely in US activities and its initials AGF became the company’s name sake.  Our founders set out the build the company that was entirely focused on clients and driven by superior investment management that took big ideas and translated them in to tangible products and services that have served clients and investors well over the decades.  Today, we are diversified global asset manager that covers all the major markets and sectors. We remained focused on growth across all our distribution channels by providing innovative products and best-in-class service quality.  During Q1 2017, we continued to execute against our strategy. AUM ended the quarter at 35.1 billion, up 2.7% from the previous quarter and up 11% relative to Q1 2016, reflecting increases across all lines of business. We recorded mutual fund net sales of $151 million for the month of February.  Mutual fund net redemptions improved by 62% in Q1 2017 compared to the same period a year ago. Q1 2017 growth sales improved by 26% compared to Q1 2016. Investment performance over one year improved to 44% of AUM above median as compared to 33% reported at the end of Q4. These results reflect broad-based improvement across our front line-up.  The InstarAGF essential infrastructure fund achieved a subsequent close during the quarter, bringing total capital committed to $540 million. After the end of our fiscal quarter, we received an additional $57 million bringing total committed capital to $606 million. We continue to target a final close of the fund in the $750 million range during Q2 2017.  During the quarter, we launched AGFiQ, as a platform for our quantitative business, officially bringing our factor based investing under one umbrella. We entered the Canadian ETF space with the launch of seven ETFs on January 30. Our private client business continues to grow steadily. AUM stands at $5.1 billion which represents a 5% increase compared to the prior quarter and a 23% increase relative to Q1 2016. The Board confirmed a quarterly dividend of $0.08 per share for their first quarter.  Turning to table 6, we’ll provide update on our business performance. I’ll start with retail, the mutual fund industry rebounded in the first quarter of 2017 during the crucial RSP season on the back of a stronger economic growth and rising markets. Industry sales in fiscal Q1 2017 were $15.3 billion. A strong RSP season can sometimes setup a positive tone for the remainder of the year. AGF sales results have also experienced significant improvement.  As I mentioned in Q1 2017, our mutual net redemptions improved by 62% compared to Q1 2016. This includes the initial allocation from a strategic partner from whom we expect to receive ongoing contributions. Excluding these amounts and other large movements, net redemptions improved by 28%, which are consistent with the trend that we witnessed in our business over the past two years.  Going forward, we expect to continue this sustained improvement by focusing on the following priorities. One, continuing to enhance our investment performance, Kevin will address the firm wide numbers which while short of our long term target reflect a broad based sequential quarter improvement. Two, developing new strategic relationships and capitalizing on our existing relationships. In addition to the significant win we experienced this quarter, we’re also doing more business with our largest partners including banks, credit unions and insurance companies.  Three, providing innovative products and solutions around specific needs.  With AGFiQ, we had a compelling capability around factor based investing that positions us to launch innovative products including ETFs. It will also allow us to partner with firms to provide unique solutions.  Before we leave retail, I’ll provide a brief update on industry regulation. On January 10, the CSA released consultation paper 81-408, which discusses the future of embedded compensation. It’s important to note that the regulators have not made a decision to ban embedded compensation. Consultation with the industry and stakeholders is ongoing and this paper represents the next step in that process.  The industry is in the process of responding to the CSA has been encouraged to offer market driven alternatives that could address some of the concerns raised. AGF is working with our industry partners in this effort. We believe in the value of advice, as well as providing choice to investors to ensure they are able to access investment products that suit their own needs.  Competitive pricing and transparency especially around conflicts and fees are important. But without the advice of a qualified financial advisor Canadians will not achieve the outcomes they deserve and expect. We trust that the regulators will continue to consider access to products and the important advice particularly for small investors, as they consult on these important issues. Regardless, we’ve position our business for any particular outcome. We have diversified our business across multiple channels.  In addition to our retail business, we have $11 billion in institutional and sub-advisory AUM and over $5 billion in our high net worth channel. We’re also involved in new avenues of industry growth including alternatives and ETFs. These channels already operate on a fully disclosed basis. So we feel good about not having all eggs in one basket and we’re looking for growth in each of our distribution channels.  Now I’ll pass the presentation to Kevin. 
Kevin McCreadie: Thank you, Blake. As I’ve previously stated, our long term target is to have 60% of our AUM above median over three years and 50% of our AUM above median in any one year. Our AUM above median over one year is 44% and three years 37% of our AUM is above the median.  As I mentioned on the last call, our global alliance and relatively conservative stance have impacted performance versus peers in the near term. Over the past year, international equities like the Canadian industries as there was a large run-up in the price of oil and other commodities has resulted portfolios with a larger allocation to global under performed.  We are unapologetically global firm and believe that the larger breadth of opportunities presented by a global view compared to a narrower geographical focus will benefit investors over the longer term. Short-term trends will not change our conviction in FX and we remain confident in our portfolio position for the longer term. Although the three year number is not where it needs to be, our three year figure stands at 62%, and I am confident that the three year number will improve in the coming quarters as well.  As Blake mentioned on January 30, we launched seven ETFs in to the Canadian market place. This launch is the result of a significant undertaking across the firm over the past 12 months. In connection with the Canadian ETF launch, the AGFiQ suite of solutions are being launched in to the institutional market place and are already attracting attention from the investment community. We are confident in our ability to grow pipeline across multiple distribution platforms and geographies over time.  Turning to slide 8, I’ll give you some additional color on the institutional business. During the quarter, the pipeline of 182 million in net redemptions which we announced on our Q4 call fully transacted. As mentioned last quarter, these redemptions are larger related to clients that made internal changes to the way they allocate assets and were not the results of the service or performance issues.  Our Q1 pipeline includes 53 million in net contributions from existing global core clients, performance of our global strategies remained strong and these contributions reflect that fact. Demand also remains intact. Our RFP activity is strengthening and the enhancements we made to our US distribution last year are generating leads. We feel confident about our ability to continue to generate gross sales. We’ve been focused on growing our institutional platform over the long term. At the same time, our ETF alternatives in private client businesses, have each become a larger part of our business.  Going forward, we’ll provide insights in to each of these businesses, but we will no longer provide detailed pipeline information to the institutional business. This will bring our disclosure in line with our peer group and will broaden our disclosure to cover each of our lines of business more holistically. On that note, during the quarter we recorded a subsequent close to the essential infrastructure fund with 27 million in additional commitment. After quarter end, we received an additional 57 million in commitments, bringing total committed capital to 606 million, which represents more than 80% targeted size of $750 million. We are in the process of working with the investment committees of our final investors in the fund and upon final close, the fund will be one of the largest first time funds of this kind in the Canadian history.  In combination with stream and asset financial, our midstream energy fund, we have raised over 800 million AUMs in alternative assets. We believe that real assets will continue to play a role in portfolio diversification and we expect this platform to provide a steady growth in the future.  With that, I’ll turn the call back over to Adrian. 
Adrian Basaraba: Thank you, Kevin. Slide 9 reflects a summary of our financial results with current quarter with sequential and year-over-year comparisons. During Q4 2016, there were one-time items that affected our results, so for comparison we have included adjusted numbers.  Revenue was 2.4 million higher in Q1 as compared to Q4. The increase was attributable to higher management fees and increases in the value of C capital and other investments. SG&A expenses were 50.4 million, which is within guidance. Q4 expenses were considerably lower because of the timing of expenses and one-time items, primarily a recovery of HST expenses. Adjusted expenses were 48.4 million in Q4.  After removing one-time items, our underlying profitability if measured by adjusted EBITDA increased slightly. Q1 2017 adjusted EBITDA was 25.7 million compared to 25.5 million reported in Q4 2016. Q1 2017 diluted EPS was $0.11 per share included a $0.01 non-cash charge related to the impact of the de-recognition of customer contracts. Q1 2016 EBITDA was 27.3 million and EPS was $0.13.  Our Q1 2017 results include the Fund Operations business which was internalized in February 2016, therefore prior year figures do not reflect an entire quarter of operations. Fund operations revenue which is paid for by the funds is included in the P&L with the management advisory and administration fees expected to show in the SG&A. Turning to slide 10, I’ll walk through the yield on our business in terms of basis points. The slide shows our revenue, operating expenses and EBITDA including fund operations as a percentage of average wave-length of the current quarter as well as the trailing 12 month view. Note that the results exclude offerings from Smith & Williamson, they’ll turn to this platform, one-time items and other income. With respect to revenue, the operations reflect a decrease in revenue yield versus the trailing 12 month view. As we discussed on our Q4 call, we’re seeing a decrease in management fee revenue yield due to a mix shift and the impact of management fee reductions that came to affect in April 2016.  Decline in revenue yield subsided in Q1 2017, that’s a yield of 120 basis points was comparable to the 121 basis points earned in Q4. Q1 SG&A decreased to 61 basis points compared to 62 basis points on a trailing 12 months basis. This is primarily a result of higher average AUM during the quarter. For 2017, we will maintain our guidance at the $205 million in SG&A, which we reduced from 210 million. So turning to slide 11, I’ll discuss free cash flow and capital uses. This slide represents the last five quarters of consolidated free cash flow, as shown by the blue bars on the chart. Free cash flow was 10.4 million in Q1, the dividend pay-out ratio was 60%. In the last 12 month, dividend pay-out ratio was 41%, and now I’ll move to some seasonality.  We now have $42 million invested in InstarAGF Essential Infrastructure Fund. Upon subsequent and final close in Q2 2017, we will receive a return of capital to bring our investment in the fund down to a proportionate share of total commitments. (inaudible) is fund the issues capital (inaudible) or investor mainly our commitment over the next two years.  Of our original $50 million commitment to stream after the financial LP only 7 million remains, remaining capital will be used for follow-on investments or the remaining investment period. Considering both stream and the essential infrastructure fund our remaining capital commitment to the alternatives platform is $65 million.  We continue to be pleased with the level of free cash flow generation on the alternatives platform and as we have explained on prior calls, we generate returns from the infrastructure platform in two ways. Our LP investments will have a return profile of approximately 12%, generated cash yield in the 6% to 7% range. Management fees will also emerge as the platform generated scale. But for 2017, we expect most of the management fee revenue will be reinvested to grow the platform.  With need to other capital considerations, total long term debt now stands at 200 million which is down from 270 million a year ago. Our operating line provides credit to a maximum amount of 320 million. Going forward, we will continue to be opportunistic with repurchases through the NCIB. Turning to slide 12, I will turn it to Blake to wrap up today’s call. 
Blake Goldring: Thanks Adrian. Q1 was a solid quarter and we continue to make progress against our stated objectives; firstly, adjusted EBITDA increased as compared to Q4; second, we achieved net sales in our retail business in February; three, we launched ETFs in Canada; four, AUM increased across all lines of business.  Over our six decades of leadership and innovation, markets have changed and so too has our business. We’ve grown from our traditional mutual fund roots to a diversified global asset management firm that covers all major market segments and geographies. With our diversified global footprint and investment platform, we are well positioned to take advantage of what the evolving investment landscape has to offer.  Along those lines, I’d like to share our primary goals for the remainder of 2017. One, want to continue to drive improvements in investment performance; second, we want to execute our growth plan for retail and institutional sales; and lastly, we want to leverage the AGFiQ platform to establish a unique capability in areas of quantitative [divesting] and ETFs.  I want to thank everyone on the AGF team for all their hard work. I’m proud of the results that we’ve achieved in the first quarter of 2017 and I’m excited to accomplish much more throughout the year.  Thank you and now we’ll take your questions.
Operator: [Operator Instructions] and our first question comes from Gary Ho from Desjardins Capital Markets. Please go ahead. 
Gary Ho: First question, just wanted to get more color on the net flows here. I think you mentioned building on strategic partners relationships there. So maybe for Blake or Kevin, what are you guys doing differently that’s call that during the last 12 months that’s driving the higher sales? And second part of that question, usually there’s some spillage in to March from RSPCs and are you still seeing positive flow so far in March?
Blake Goldring: Sure. Gary it’s Blake and I want to say we’ve said for a long time, we’re focused on improving both performance, that has been a direct contributor to certainly right across the board in our various distribution channels greater acceptance.  Second, we’ve focused and we’ve talked about this on various strategic partners developing tight relationships with different groups and a new one came aboard, which helped us in the Q1 and you can expect more of that type of activity. And thirdly, I think innovation and product, we have introduced ETFs of three to seven of them, which I think are truly interesting given that they are multi-factored ETFs. And this is opening doors in the IIROC channel for us and that will continue as well.  As far as the month of March is concerned, we continue to have a good month. Obviously when you get a large strategic partner investing in a month that certainly helps in February, I would expect that we’ll continue to make good progress, but I think our redemptions continue to improve quite dramatically and as I mentioned you continue that trend, I think we’re down 60%-62% year-over-year and that will just continue in the month of March.  Kevin do you have anything to add?
Kevin McCreadie: Yeah Gary, I would say over the last year we’ve been actively in front of our advisory community, Blake and I always been out front walking through the strategy, walking through what we’ve done in terms of changes. I think that’s helped that we’ve been repetitive about that and then follow through on that.  I’d say, in terms of margin in February we are at a place now so we’re going to be in and out of positive. We’re not there consistently out, but I think we’re starting to see that trend is where we’ve wanted to be to drive where we want to get to in terms of sustainable view of net flow. 
Gary Ho: That’s helpful. Just maybe one follow-on then, these new strategic partners, just wondering how are these structures, are there a upfront costs that you have to pay them or are these just negotiated more favorable fees. How should we think about these?
Blake Goldring: Adrian do you want to, perhaps?
Gary Ho: Gary thanks for your question. There are not any upfront costs related to bringing on one of the strategic partners. Of course when you look at the fees in terms of dealing with the strategic partners, they are generally lower, the reason for that is that the strategic partner is doing a lot of the heavy lifting around distribution and dealing with end client. But from our perspective we think it’s really great business because it’s a one too many model. Instead of going advisor to advisor, you’re dealing with a single strategic partner that gives you a large breadth of distribution. 
Gary Ho: That’s helpful. And my other question is for Kevin. We’re seeing an increasing appetite for EM strategies last couple of quarters now and leading up so far 2017 these industry wise. Just want to ask if you’re seeing more activity on those mandates?
Kevin McCreadie: Yeah, EM’s been volatile. It’s underperformed. If you take out the middle part of last year and you go backwards three years it was really underperforming developed markets significantly. That shook a lot of people up. I mean valuations (inaudible) in EM and if you believe that the US dollar doesn’t runaway which we don’t, EM should do pretty well. So I’d say that you’re seeing client start to warm up to it, but we’re not seeing a significant level of increased activity, but there is some. 
Operator: Our next question comes from Graham Ryding from TD Securities. Please go ahead. 
Graham Ryding: Maybe I could start on the ETFs, maybe you could give us a little bit of color on what the initial reception has been like through the first two months and are there any data points or targets that you’d be willing to share?
Kevin McCreadie: So we introduced this on January 30, and we’ve got our assets now that are possibly close to $20 million in them. So the initial response have been actually very good, and as I mentioned in my comments that it’s been really excellent reconnecting with a lot of mainly IIROC advisors who are opening their doors to us and they are very receptive and have to say this but it continues across from our strategic partners as well that they see this as an innovative way to really enter in to this space. 
Blake Goldring: I agree with Kevin. The thing I would add to that is, these are sufficiently different than what’s out there. They are getting picked up with some good coverage by a lot of the [sales] firms like ourselves and those who did ETF research. And we know there’s going to be a ramp time, here so as I’ve told everyone. Think of this as the first half of the first inning in terms of the long game we’re playing.  But the fact we’re at 20 million and we’re starting to get credits and seeing new owners at a pretty early stage, I think we’re pretty encouraged that we are in the right place. 
Graham Ryding: And can you sell these ETFs to your MFDA clients or is there something structurally need to happen before the majority of advisors in this channel can look to ETFs as an option.
Blake Goldring: There are some creative ways through which we can look at the packaging needs that will make a cost effective solution available to MFDA people, and these are things that we are working on right now. 
Kevin McCreadie: Yeah as you know Graham there are certain licensing issues about ETFs, but there are certain also I think where some of the firms have started to work through that. Again they do the work not us in terms of their own structuring. But I also think there’s probably some regulatory change that comes with that overtime that makes those look more like maybe the US market and others. 
Graham Ryding: You mentioned, I think one of the ETFs that you’re looking to promote or market in to the institutional space, could you just reiterate when you said I missed on your comments?
Blake Goldring: We’re trying to see and so we back up and not even use the word ETF, let’s use more philosophically think such as factor based investing. What I think of the next generation as some of what was again people called smart bear, which were called smarter bear, maybe a virgin too, is multi-factored investing and putting many factors in to one of these or two of these.  We just responded to - I guess I used to put this, we’re seeing some interest from institutional investors who we classically or traditionally would not have seen look at some of these factors. And as you go in different parts of the world, you’re seeing again, maybe not an ETF but this idea of factor based investing and think of an ETF as a way to package them potentially.  In the case of some of these institution clients, they will replace their active managers with these type of ETF strategies and think of a strategist that sits over them acting in a sort of like a consultant tactically implementing different asset classes or factors inside of a portfolio. So yes, we are seeing interest, I think its again early days. I think this is a transition that’s going to take some time in the institutional space, but I think it’s starting to occur. 
Graham Ryding: And then just my last question would be, with the essential infrastructure fund with the last close expected in this quarter, what is the capital return that you’re expecting and then the remainder of you commitment of a 100 million I think it is for that fund is expected to be deployed over 2017-2018, is that the right way to think about it. 
Blake Goldring: Yeah, Graham, so for any essential restructure fund they will probably invest the money over the next two years and that’s sort of when we will see the capital calls. And I think your question about how much we’ll get back from this most recent commitment, is that your question?
Graham Ryding: Yeah, like in next quarter are you expecting a capital return?
Blake Goldring: Yeah. So in this quarter we’ll get a capital return of about $4 million related to the commitment that we just received. 
Kevin McCreadie: That will be reinvested as the fund does investments?
Operator: Our next question comes from Geoff Kwan from RBC Capital Markets. Please go ahead.
Geoff Kwan: First I had was with respect to CRM2 and the people getting those statements, just wondering if you guys have seen anything either from your perspective or kind of what you’ve seen in the industry on any impact if anything on flows.
Blake Goldring: That’s a really great question and I have to say we’re just going through this yesterday in quite a bit detail at our Board meeting. And there has been really very, very little noise certainly from our own statements from the comments we’ve heard from a number of our partners and talking right across the country, the issue of - and its what’s interesting here and I’ll just mention this Geoff that we have - our tax saving is also included in their actual former statement.  So clients are reading this, right, they are looking at it and they are looking at these and I can tell you that our clients are certainly they’re making no comments of displeasure or if they’re leaving industry or in fact it’s very accepting. And I think it speaks to it that if you have disclosure and you put it out there and people see that they are getting have certainly - if you’ve seen our financial barges getting service for what they are doing and were performing well that’s not an issue. So we have not had any issues fewer to AGF.
Kevin McCreadie: Geoff, its Kevin. I’ve been out seen advisors through - it’s time to go out and see a lot of those of types of meeting and I’ve been asking the same question. So more anecdotally, still I’ve heard that, when I ask that question, some firms had issues getting statements out. But really there’s no hue and cry from the end investors. So what we can tell as Blake said, I think people have seen it for what it is and are reading it, but there’s not going to be a pushback, that we can tell. 
Geoff Kwan: My second question is on the alternative side, obviously we’ve got the infrastructure fund as well as on the energy side. Are there other assets classes that are of interest that maybe not over the next six months or 12 months, but other areas that seem of interest to you?
Blake Goldring: There certainly are Geoff but I think right now our key goal is to get this first fund closed which we are well in fact doing, and getting invested and then we’ll access the rate after. We are committed to the alternative space and you’ll see more from this or a little bit in the future. 
Geoff Kwan: If I can may be sneak in one last question, as you know we’ve seen over the past year and a half or may be even two years a lot of companies in the industry that have lowered the cost of investing for their fund investors through various types of sea changes. Can you talk about the factors that play a role for AGF when you decide whether or not you want to make some changes to the cost of investing for your clients? 
Blake Goldring: Geoff, I think its starts with, we try to take disciplined approach to this. We’re trying to make a committed effort to being a really competitively priced from a fees standpoint, but doing it a disciplined way. And so let’s look at asset class is that are in favor where we have a capability that’s compelling. Let’s get there quicker to drive potentially some sales versus things that are out of favor which we can through later. So really chunk it down in different points of time rather than doing one fell of swoop and that helps run it through the P&L in a smoother fashion if you will, but is also more strategic about what’s selling versus not as an industry. 
Geoff Kwan: And when you talk about the asset class in favor, I’m assuming it’s from a flow perspective. Over what kind of timeframe kind of tells you that hey it’s been this long and it looks like the flows are getting better relative to other asset classes we’ve got or a later shift where we’ve got kind of these sets of project, as oppose we should kind of tweak the fees like is it a six month timeframe or what type of timeframe do you think about. 
Kevin McCreadie: Yeah, it’s a little bit of both backward looking and as Geoff looking at what has been selling right, that’s one indicator and then two, looking at the asset class has been really out of favor meaning relatively negative performance. You guys sit there, and it’s a little bit of hard to switch those out. Does it start, swing back because it is so (inaudible) favor kind of thing. So there’s no real sign on this unfortunately. I think you just have to look at where flows in the industry are, where your strengths are, and kind of try to come to an answer that you start to see over time it play through. But there’s no real sign unfortunately around us about where the investor is, its appetite is going to be. 
Blake Goldring: I would just say Geoff, that we philosophically believe that we want to make sure we are competitively priced that we are not aligned which we are not. We have taken steps over the last two years to basically take a look at our complete product line and we’re pretty well priced relative to our competitors and we have the right (inaudible). 
Operator: [Operator Instructions] Our next question comes from Paul Holden from CIBC. Please go ahead. 
Paul Holden: Wanted to ask you a couple of questions on the strategic partnership that hasn’t been passed on Q1 flows. So first question is, is this a brand new relationship effective Q1 or is it one of the relationships you would have added in 2016?
Blake Goldring: It’s a brand new strategic partner. 
Paul Holden: And then I’m just trying to understand the nature of the product you’re selling in to them. Would it be standalone funds or is this through a fund of fund type structure?
Blake Goldring: It is one of our products which is actually being sold in to a structure within the organization. 
Kevin McCreadie: Our fund is standalone. It’s been in to something that they are packaging.
Paul Holden: Got it. And so that 106 million effectively was a rebalance from another standalone manufacturer in to any GF standalone fund?
Blake Goldring: It just makes for us to get that relationship started so I can’t comment on where it came from. 
Paul Holden: And then one of your primary objectives for the year is related to AGFiQ. So just wondering if you were to fast forward a year from now what factors would you look to determine that what you did was AGFiQ was a success for the year. So ideally what are you benchmarking yourself against for the next 12 months. 
Kevin McCreadie: Paul, its Kevin. We’ve had very modest expectations knowing that it can take us a while to establish track records in these, they are sufficiently different. So I’d say internal metrics that we look at are probably going to be more volume related in terms of number of holders, uptake. So we’re penetrating the corner office brokered with, more suited to use these. Can we cross-sell now like traditional fund company which is also obviously an active, these active ETFs or active management strategy. So there’s a number of what I call metrics that are not related to AUM bill in the near-term that are as equally important. So I’d say it’s a combination of things about our success in getting traction rather than as an AUM build. AUM build will come as the track records built. 
Paul Holden: So it’s going to be things that are hard for observers such as the analyst community to really track and get a gauge of then? 
Kevin McCreadie: Probably in the first year. Yeah, that’s probably right Paul, beyond that we just start picking some metrics that are more visible for you guys. 
Paul Holden: And then with respect to that de-recognition of customer contracts in the quarter, can you give us a little bit more color on what that was specifically related to?
Adrian Basaraba: It’s Adrian, so the de-recognition of the customer contracts were related redemptions in our institutional business. 
Paul Holden: And then in terms of the institutional business on the growth and gross sales and new mandate wins. Is that all coming in global core or are there some other mandates we’re seeing demand?
Blake Goldring: It’s been global core which performance continues to be very, very strong and so it’s been global core. 
Paul Holden: And last question is with respect to investment performance and portfolio positioning as we think about total AUM versus any individual mandates, because Kevin you mentioned there is a global and a conservative tilt to the fund. From what I can tell, you’re trying to break down the AUM. It seems like relative to the industry you’d be overweight Europe specifically which may be that global component. But then at the same time I kind of suggest that your overweight we use our sectors both mining and energy. So maybe you can comment on that if you don’t mind. 
Kevin McCreadie: Our AUM breakdown is probably only 30% on the equity side of Canadian. So I’d say the resource mining tilt is probably over the [loan]. We have a pretty good resources team, but our allocation is through resources with our balance framework approve minimal right now. So I think it’s probably not I’d say European tilt. We have a fair overweight to the US, in some markets we’re fairly overweight to Japan, so it’s a combination of things. But as you know last year the TXS was probably the best performing developed market.  In terms of confidence on the performance side, the near term just to give you some perspective and I put no weight on these through such a short period of time. Over the last quarter which has been a quarter of, if you think about it, a real push and pull. You had the post rally in most market after Trump, you had to get back that we’ve been running through the last couple of weeks.  We’re running high 70s, 80% of AUMs in that one quarter still upsetting those top two quartiles. So I feel with (inaudible) positioning, I feel global is probably the right place to share it. You have be a little tactical. But I would now make the assumption that its resource based on the Canadian side. 
Operator: Our next question comes from Tom MacKinnon from BMO Capital Markets. Please go ahead. 
Tom MacKinnon: Just wondering if you are in a position now to forecast when you might be able to return to positive net flows on the retail side especially given this strategic partner where you expect some ongoing contributions? And if not now, when you think you’d be able to forecast that?
Blake Goldring: Tom if the trend is good, you are friend right, and it’s going in the right direction. I think Kevin made the point that certainly it was a great to get through in the month of February, having a good month and (inaudible). But it’s going to be frankly to get on a permanent it will still be a little real spotty until probably later towards the end of the year, I would suspect. But we’re making great progress. 
Operator: And we’re showing no further questions. I will now turn the call back to Mr. Basaraba for closing comments. 
Adrian Basaraba: Thank you very much for joining us today. Our next earnings conference call will take place on June 28, when we will review our results for Q2 2017. Details of the call will be posted on our website. Finally an archive of the audio website for today’s call with supporting materials will be available in the investor relation section of our website. Good day everyone.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating and you may now disconnect.